Operator: Good morning. My name is Tiffany. I will be your conference operator today. I would like to welcome everyone to the TD SYNNEX Third Quarter Fiscal 2025 Earnings Call. Today's call is being recorded and all lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. At this time, for opening remarks, I would like to pass the call over to David Jordan, America's CFO and head of investor relations at TD SYNNEX. David? You may begin. Thank you.
David Jordan: Good morning, everyone, and thank you for joining us on today's call. With me today is Patrick Zammit, our CEO, and Marshall Witt, our CFO. Before we continue, let me remind you that today's discussion contains forward-looking statements within the meaning of the federal securities laws including predictions, estimates, projections, or other statements about future events, including statements about our strategy, demand, plans and positioning, growth, cash flow, capital allocation, and stockholder return, as well as our financial expectations for future fiscal periods. Actual results may differ materially from those mentioned in these forward-looking statements as a result of risks and uncertainties discussed in today's earnings release, in the Form 8-Ks we filed today, in the risk factors section of our Form 10-K, and our other reports and filings with the SEC. We do not intend to update any forward-looking statements. Also, during this call, we will reference certain non-GAAP financial information. Reconciliations of GAAP to non-GAAP results are included in our earnings press release and the related Form 8-Ks on our Investor Relations website ir.tdsynex.com. This conference call is the property of TD SYNNEX and may not be recorded or rebroadcast without our permission. I will now turn the call over to Patrick. Patrick? Thank you, David. Good morning, everyone, and thank you for joining us today.
Patrick Zammit: I'm excited to report that our third quarter non-GAAP gross billings and diluted earnings per share established new records for our company. Our performance is a clear result of our team's strong execution, a differentiated go-to-market strategy, and a global end-to-end portfolio of products and services that is unrivaled. Beginning with our financial performance for the quarter, consolidated gross billings were $22.7 billion, growing 12% in constant currency. And non-GAAP diluted earnings per share of $3.58 exceeded the high end of our guidance, representing a 25% increase year over year. Within TD SYNNEX, excluding HIVE, gross billings increased 9% year over year, with gross profit and operating income each increasing by double digits. Hive had a strong quarter, with gross billings increasing in the mid-thirties year over year, and ODM Centimeters gross billings increasing 57% year over year, fueled by continued strength in hyperscaler investments in cloud infrastructure. Hive total gross margins returned to historical levels, operating profit exceeded expectations. The majority of our technology products and services in endpoint and advanced solutions experienced an increase in gross billings year over year. Highlighting a few key areas, software continued to be a standout experiencing a 26% increase in gross billings, fueled by cybersecurity and infrastructure software. Additionally, we are still experiencing strong demand in PCs driven by a higher mix of AI PCs and the Windows 11 refresh cycle. We experienced healthy momentum across each of our regions, exceptionally dynamic performance in Latin America and Asia Pacific and Japan, each increasing strong double digits in gross billings in the quarter and exceeding expectations. Broad-based adoption of IT products and services continues to build in these geographies, validating the strength of our go-to-market strategy and positioning us to continue to capture profitable growth. Moving to our diversified customer end markets, we're experiencing broad-based strength in SMB and MSPs, which grew substantially above the company average in most of our geographies. By developing bespoke value propositions and deploying dedicated commercial teams with deep industry knowledge, we have successfully positioned ourselves as a trusted partner for this strategic customer segment. Enterprise demand remains largely stable, with balanced revenue growth throughout the majority of this customer base. Our US public sector business increased its gross billings low single digits in the quarter. Strength in state and local was offset by anticipated softness in federal, as our customers navigate a dynamic environment led by the revaluation of budgets and expected changes to federal funding programs. As a reminder, federal is a small portion of our total portfolio, but one we will continue to invest in growing. Next, our differentiated and highly specialized go-to-market strategy we outlined during investor day strengthens our competitive position and drives our business forward every day. A great example of this strategy in action is expanding our addressable market by introducing new vendors to the channel and leveraging our network of partners to accelerate growth. Last year, we onboarded a cybersecurity vendor in North America, who was attracted by our specialist go-to-market and partner enablement capabilities. Within eighteen to twenty-four months, we have grown that business from 0 to hundreds of millions of dollars by expanding the customer base and improving their net revenue retention rates with existing clients. We have many more examples like this, and we are continuing to onboard cutting-edge vendors and help accelerate the adoption of new technologies in the market. As the adoption of AI technologies evolves, we are enhancing our destination AI enablement program to include three strategic focus areas that are designed to help our partners adopt, scale, and secure AI solutions: AgenTiKi, security for AI, and AI factory. Launching next week, these programs will deliver comprehensive solution support such as designing modern architectures that blend multiple AI technologies and enable hybrid deployment models that deliver flexible, intelligent threat detection, prevention, and responses. Within Hive, we're extremely proud of our performance during the quarter and remain confident in our ability to be a leading partner for data center infrastructure build-outs. We are continuing to invest in new capabilities, taking a holistic approach to data center requirements that anticipates our customers' needs and provides an end-to-end solution for the world's leading hyperscalers and cloud service providers. As a result, our portfolio is becoming more diversified. We are participating in more compute, networking, and storage rack builds as the deployment of GPU and AI integrated racks accelerates, and we have seen robust growth throughout the majority of our programs. Additionally, our customer mix is also shifting favorably, and we have seen substantial growth beyond our top customer. Moreover, our second largest customer grew faster than expected within the quarter, and we anticipate similar strength in Q4. At our investor day, we outlined a digital strategy including the creation of a unified experience, seamless workflows, and actionable insights to drive customers' growth. Today, we are taking the next step of that journey with the launch of TD SYNNEX Partner First in North America. A unified portal that optimizes the partner experience by combining commerce, services, education, and community in a single digital environment. Partner First marks an important milestone in TD SYNNEX omnichannel strategy, using AI automation and advanced analytics to enhance our operations and streamline the buying journey. Partner First will be rolled out globally in the coming quarters. In summary, our team's strong execution, our differentiated and highly specialized go-to-market strategy, and our unrivaled global end-to-end portfolio of products and services are enabling us to continue to deliver a superior level of service and customer experience. Now I will pass it to Marshall to go over the financial performance and Q4 outlook in more detail. Marshall?
Marshall Witt: Thanks, Patrick, and good morning, everyone. As Patrick highlighted, we're excited to report that we achieved 12% gross billings growth and 25% non-GAAP diluted EPS growth in the third quarter, which exceeded the high end of our guidance range. Our endpoint solutions portfolio increased gross billings 10% year over year driven by continued demand for PCs as the refresh cycle progresses. As well as a higher mix of AI PCs. Globally, PCs have increased double digits for three consecutive quarters, and we believe that we are in the mid to late innings of the refresh cycle. Advanced Solutions portfolio increased gross billings by 13% year over year, and 8% year over year when excluding the impact of Hive, driven by meaningful demand in cloud, security, software, and other high-growth technologies. Hive, which is reported within the advanced solutions portfolio, increased in the mid-thirties, primarily due to strength in programs associated with server and networking rack builds. Hive's capabilities, capacity, and US manufacturing footprint positions it to support the increased demand. In the quarter, there was an approximately 31% reduction from gross billings to net revenue, which was slightly higher than our expectations but consistent with previous quarters. Our net treatment as a percentage of billings continues to remain elevated versus the prior year, primarily driven by an increase in Hive transactions where we act as an agent and a higher mix of software within distribution. As a result, net revenue was $15.7 billion, up 7% year over year and above the high end of our guidance range. Gross profit increased 18% year over year to $1.1 billion. Gross margin as a percentage of gross billings was 5%, which increased 23 basis points year over year and improved sequentially. Notably, we expanded our gross margin profile in both distribution and Hive. Non-GAAP SG&A expense was $155 million or 3% of gross billings. Our cost to gross profit percentage, which we define as the ratio of non-GAAP SG&A expense to gross profit, was 58% in Q3, and an improvement from the 60% level that we experienced in the first half of the year, demonstrating our progress towards managing costs as a percentage of gross profit down over time while still making key investments into the business. Non-GAAP operating income increased 21% year over year to $475 million. Non-GAAP operating margin as a percentage of gross billings was 2.09%, representing a 15 basis point improvement year over year. Interest expense and finance charges were $91 million, an increase of $11 million year over year. Our non-GAAP effective tax rate was approximately 23% compared to 21% in the prior year. Total non-GAAP net income was $296 million and non-GAAP diluted earnings per share $3.58, an increase of 25% year over year and an all-time high for TD SYNNEX. Free cash flow was $214 million driven by strong earnings growth and a slight improvement in our cash conversion cycle. Within the quarter, we returned $210 million to stockholders, with $174 million in share repurchases and $36 million in dividend payment, bringing our total return to stockholders for the year up to $534 million. Net working capital was $4 billion, which is consistent with quarter two. We have added a gross cash days metric to the investor presentation, which we believe better reflects the fundamentals of the two-tier distribution industry and our organization. Our gross cash days were approximately sixteen days, which was consistent with the prior year, and a one-day improvement from the prior quarter. We ended the quarter with $874 million in cash and cash equivalents, and debt of $4.2 billion. Our growth leverage ratio was 2.3 times, and our net leverage ratio was 1.8 times. For the current quarter, our Board of Directors has approved a cash dividend of $0.44 per common share that would be payable on 10/31/2025 to stockholders of record as of the close of business on 10/17/2025. Now moving on to our outlook. These numbers are all non-GAAP. For the fourth quarter, we expect gross billings in the range of $23 to $24 billion, representing an increase of approximately 11% at the midpoint. Our outlook is based on a euro to dollar exchange rate of 1.18. Net revenue in the range of $16.5 billion to $17.3 billion, which translates to an anticipated gross to net adjustment of 28%. Non-GAAP net income in the range of $281 million to $322 million, non-GAAP diluted earnings per share in the range of $3.45 to $3.95 per diluted share, based on weighted average shares outstanding of approximately 80.7 million. We expect a non-GAAP effective tax rate of approximately 23% and interest expense of $91 million. In closing, we remain in a strong financial position to close out what has been a great year for our business and are leveraging our strategic pillars that we outlined during our Investor Day to ensure we continue to be the partner of choice in IT. With that, we'll open it up for your questions. Operator?
Operator: At this time, if you would like to ask a question, press star, then the number one on your telephone keypad. To withdraw your question, simply press 1 again. We request that you limit yourself to one question to allow time for the other participants to ask their questions. If there is time remaining, you are welcome to requeue with additional questions. We will pause for just a moment to compile the Q&A roster. Your first question comes from the line of Eric Woodring with Morgan Stanley. Please go ahead.
Eric Woodring: Hi. Good morning, guys. This is Maya on for Eric. Last quarter, you talked about the potential for Hive potentially decline in the fiscal 4Q on tough compares. Given the strong results in the August and the November guide and the momentum we're seeing in cloud CapEx trends more broadly, should we think about, you know, Hive Dynamics in fiscal 4Q? And then, you know, any high-level color on as we look to next year. Thank you.
Patrick Zammit: Yeah. Good morning, and thanks a lot for the question. So indeed that we were a little bit cautious quarter. As you know, I mean, HIVE is a lumpy business. But, I mean, the quarter did I mean, went extremely well as the distribution, by the way. So, what explains the overperformance? First, I mean, we saw growth, significant growth across all the programs and all the customers. So that's point number one. Point number two, we see our second customer demand come back and, we are confident by the way, for for next quarter too. It's the second thing. Then also, we saw more demand for supply chain services than expected. And, so the combination explains the other performance of HIVE. We believe that I mean, those dynamics will remain in Q4 and is reflected our guidance. And, Maya, this is Marshall. Just thinking about the the growth expectations being above what we initially had thought. As we said in previous discussions, we continue to make investments in skill sets, engineering capabilities, capacity, manufacturing, etcetera, to ensure that we stay ahead of capacity requirements.
Eric Woodring: Alright. Thank you.
Patrick Zammit: Thank you.
Operator: Your next question comes from the line of David Paige with RBC. Please go ahead.
David Paige: Hi. Good morning. Marshall. Thanks for taking my question. I guess I had two questions. Just any comments around the pull forward for PCs in the quarter? I believe last quarter anywhere from $100 million to $200 million. And if I could stick one other question in on free cash flow, should we still expect $1.1 billion for 2025? Thank you.
Patrick Zammit: Perfect. Yeah. Good morning, David. Thanks for the questions. On the first one, so again, we looked at it. As as you know, it difficult to assess, but we think it's very limited. Mean, what we see is we continue to see very good momentum on PCs. Across the world. So all regions are contributing to to it. And, again, it's driven really by the refresh related to Windows 11, the refresh of the base, was built during the pandemic, we also see the start of some momentum on AIPC. So some customers coming to us, because they want an AI PC. Again, the vast majority is related to the refresh.
Marshall Witt: And, David, in regards to free cash flow expectations for the year, our expectation is that the free cash flow will be approximately $800 million for the year. Let me give you some some color behind that. As we were thinking about h two coming out of h one, we had given a miss single digit growth rate to the overall portfolio with distribution being a little bit above and and high being that flat to down. Clearly, the results for quarter '3 showed a 10% growth rate and expectations again for a 10% growth rate in Q4. So in essence, that has lifted the overall working capital requirement for the entire portfolio, both distribution and HIVE. As you know, HIVE has a little bit longer cash conversion cycle given what is required in terms of raw material to ultimately finish rack and how that fell through. And staying ahead of our customers' requirements in terms of ensuring they have a a smooth supply chain. If we think about quarter four, which ultimately is where this goes, we if you look at our our press release, you could see that our year to date free cash flow was zero. Coming into Q4 So how do we get there? And thinking about four cash flow, we think that's gonna be around free cash flow is maybe around $850 million. It's roughly divided evenly between earnings growth for the quarter and expected cash conversion improvement of two to three days. I will say with that and and thinking about what we had said at Investor Day, we still believe over the medium term, cycle that netting net income to free cash flow conversion should stay right around 95%.
David Paige: Great. Thank you so much.
Patrick Zammit: Thank you.
Operator: Your next question comes from the line of Keith Housum with Northcoast Research. Please go ahead.
Keith Housum: Thank you. I apologize if my phone's breaking up. Hey guys, great quarter, obviously, in terms of better than expected. I guess, the question that may be asked here is, how sustainable do we see this being? Is there any pull forward that we saw from the, you know, fourth quarter fourth quarter and the third quarter?
Patrick Zammit: Yeah. So so good morning. Again, I mean, if you look at what is driving the other performance, so if I I think about distribution, it's it's PCs, it's software, it's cybersecurity, it's compute, I mean, we believe that, that dynamic will continue into Q4. And then HIVE benefits from a very favorable environment, Hyperscalers are confirming or increasing their spend. And we are positioned on programs where the demand continues to be healthy.
Operator: Your next question comes from the line of Michael Ng with Goldman Sachs. Please go ahead.
Michael Ng: Hey, good morning. Thank you for the question. I just have two quick ones on on Hive. First, I was just wondering if you could talk a little bit about the progress in onboarding, new customers beyond the the two main ones that you have? And then, you know, secondly, could you just talk about whether the growth in high volumes tend to be more from the traditional server side or AI server side. Thank you. Mike, I'll start, and then Patrick, please chime in. So we continue to make good progress in what we'll call programs as Patrick mentioned earlier. Programs to us is the way we define our ability to continue to to grow our presence in in Hive and ODMCM. And data center supply chain management. We do expect to continue to diversify our portfolio, our pipeline remains quite healthy and strong that continues to grow. We're we will continue to seek out more customers in the super six and beyond that. And so we feel good about where that's heading. Pat, do you wanna cover all of those? And so good morning.
Patrick Zammit: Just adding that the growth is coming from networking, and compute, and more traditional compute. We have some GPU projects in in the pipe, but, when you look at Q3, the vast majority of Q4, again, the demand will come from networking and and traditional compute.
Michael Ng: Great. Marshall. Thanks, Patrick.
Patrick Zammit: Thank you.
Operator: That concludes our question and answer session. I will now turn the call back over to Patrick Zammit for closing remarks.
Patrick Zammit: So thank you everyone for joining us. I want to close by reiterating that our goal isn't simply to perform today. It is to continue building a company that can do so reliably over the long term. That means continuing to invest in our people, in innovation, and in the systems that allow us to anticipate change, rather than react to it. Our approach has always been about building enduring capabilities. Deep customer and vendor relationships, operational discipline, and a culture that adapts quickly to change. These are the factors that we believe will allow all us to continue to deliver differentiated performance year after year regardless of the market cycle. Of course, none of this would be possible without our coworkers around the globe, who are the driving force behind our success. We are grateful for the trust of our vendors, customers, and shareholders place in us, and we remain focused on earning it every day. Thank you, and have a great day.
Operator: That concludes today's conference call. You may now disconnect. Have a nice day.